Operator: Ladies and gentlemen, thank you for standing by, and welcome to the BioCryst Third Quarter 2020 Earnings Call. 
 [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions]
 I would now like to hand the conference over to your speaker today, John Bluth at BioCryst. Thank you, and please go ahead. 
John Bluth: Thanks, Samantha. Good morning, and welcome to BioCryst Third Quarter 2020 Corporate Update and Financial Results Conference Call. Today's press release is available on our website. Participating with me today are CEO, Jon Stonehouse; CFO, Anthony Doyle; Chief Medical Officer, Dr. Bill Sheridan; Chief Business Officer, Megan Sniecinski; and Chief Commercial Officer, Charles Gayer. Following our remarks, we'll answer your questions.
 Before we begin, please note that today's conference call will contain forward-looking statements, including those statements regarding future results unaudited and forward-looking financial information as well as the company's future performance and/or achievements. These statements are subject to known and unknown risks and uncertainties, which may cause our actual results, performance or achievements to be materially different from any future results or performance expressed or implied in this presentation. You should not place undue reliance on these forward-looking statements. For additional information, including a detailed discussion of our risk factors, please refer to the company's documents filed with the Securities and Exchange Commission, which can be accessed on our website.
 I'd now like to turn the call over to Jon Stonehouse. 
Jon Stonehouse: Thanks, John. Good morning, and thank you all for joining us. We are 28 days from our PDUFA date with Orladeyo, and we are ready to launch. Charlie and Megan will review the details around our readiness. But suffice it to say, we've been getting ready for this day for many years and it's so exciting to be less than a month away from bringing our oral once-daily medicine to HAE patients who've been waiting.
 In addition, our partner in Japan, Torii Pharmaceuticals is ready to launch. Late last week, we were informed of a recommendation for approval by a PMDA review committee, and we expect an approval decision by the Japanese Ministry of Health in December. While the market is much different from the U.S., this is also very exciting as Orladeyo will be the first prophylactic treatment approved for HAE patients in Japan.
 In Europe, we were excited to announce last week that the MHRA has granted us a positive scientific opinion under their early access to medicine scheme in the U.K. This allows HAE patients and physicians in the U.K. to gain experience with Orladeyo prior to approval. We expect European approval early next year, and launch preparations by our team in Europe are well underway. Our plan is to make Orladeyo available to patients around the world. To that end, we started planning for the next wave of countries to gain approval and bring this oral once-a-day medicine to patients.
 Our company is transforming, having a product that we believe can generate over $500 million in global peak sales about to enter the market and a pipeline right behind it with our oral Factor D inhibitor for multiple complement-mediated diseases enables us to create sustainable value for years to come. We have many major milestones in the coming months, but perhaps the most important is the U.S. approval of Orladeyo. To share more details on how we are prepared for a successful launch. I'll now turn the call over to Charlie and Megan. 
Charles Gayer: Thanks, Jon. The Orladeyo PDUFA date is exactly 4 weeks from today, and we are ready to launch. We are ready because we started investing in this launch years ago. We invested early because we knew that a deep understanding of the attitudes demographics and access needs of our customers would be critical to success. We also invested early to build an experienced team that is ready to execute our plan. I'll describe each of these key investments in more detail.
 First, we invested in understanding our customers. When we did market research to understand HAE patient and prescriber attitudes and behaviors, we didn't cut corners. We conducted very large physician and patient surveys to gain a clear and unbiased view of how our future customers will respond to Orladeyo. When we surveyed 175 HAE treating physicians, for example, that's a sample that treats 1,300 patients, over 10% of all HAE patients in the U.S.
 Here's what that comprehensive research tells us. Patients are grateful for the injectable treatments that exist because they remember having nothing. They cope with their injections, but they want something more. Patients want more because the burdens of injectable treatment, such as preparation time, difficulties in administration and needle fatigue all limit their freedom and detract from their ability to live normal lives.
 Patients and physicians told us consistently that they see a targeted oral therapy as the next big thing and the natural evolution of HAE therapy. This explains why half the patients we surveyed who say they are very satisfied on their injectable therapies still want to switch to Orladeyo. We've seen this movement already as 50% of the patients enrolling in APeX-S in the U.S. are switching from treating with Takhzyro, Haegarda or Cinryze. Megan will tell you more about how these clear patient preferences, new data on the burden of treatment and the opportunity for an oral once-daily option are all starting to change how physicians think about HAE treatment.
 As part of our market preparation, we also invested in understanding the universe of healthcare providers who treat HAE. In rare diseases, there are no off the shelf solutions for customer targeting. You can't get traditional pharmacy prescription data. So over the past several years, we layered over 10 data sources to build and refine our HAE treater database. We use these data to structure our sales team, and that team started making profiling visits to their future customers in July. What we hear back from the sales team is that our list is on target and that HAE treaters are engaging with them. And with less travel right now, our reps have more time to go even deeper into their target list with customer outreach.
 We're also invested in understanding how payers will cover Orladeyo and how we will help customers through the access process. A year ago, we did qualitative interviews with 16 payers, representing over 100 million covered lives. And since then, we completed additional quantitative work with 56 payers that represent over 200 million covered lives. Payer feedback has been consistent. They recognize the value of an oral therapy for HAE patients, but they don't want to pay a premium for it. They tell us they will cover Orladeyo if it costs them what they pay for injectable therapies like Haegarda and Takhzyro, products that are priced at $500,000 to $600,000 per year. 
 Equally important is how we invested to smooth the Orladeyo access process itself. We set out to build a best-in-industry patient services program by taking great care to understand customer experiences, both positive and negative. There are several ways we will deliver on our goal, but I'd like to highlight 2 important components. The first is that every health care practice and their patients will have a dedicated care coordinator. We heard repeatedly from patients and providers about their frustration with the inefficiencies of being transferred from person to person during the access process. We also heard about the value of long-term relationships between patient service programs and their patients. Our dedicated coordinators are ready to streamline the access process, coordinate product shipments to patients and build ongoing relationships with both patients and healthcare providers.
 The second component is that we are closely linking Orladeyo patient services with our field teams to support patient access. Our field market access team has already built relationships with reimbursement coordinators in the top 200 HAE treating practices. And our team is ready to assist with prior authorizations, payer education and other steps to speed patient access to Orladeyo.
 And finally, we invested in people. We've built a U.S. commercial team that knows how to execute. Our commercial leadership team has a track record of rare disease launch success in oncology, gene therapy as well as previous HAE launches. They hired a sales team that averages 20 years of industry experience, including nearly 10 years in rare disease. Each one of them joined BioCryst because they understand the value that Orladeyo will bring to patients. They have a passion for launching products, and they want to be part of the growth and transformation of BioCryst.
 Our investments are about to pay off because the team is ready. We are ready to launch the day Orladeyo is approved. We are ready because we've invested in understanding this market. We're ready because we know that HAE patients have been waiting years for a targeted oral therapy. We are ready because we don't want patients to wait any longer.
 Now I'll turn the call over to Megan to describe our medical team's preparations. 
Megan Sniecinski: Thanks, Charlie. Like the commercial team, medical affairs is launch-ready and early awaiting our PDUFA date. Our preparation and execution to date have focused on two key priorities: first, gaining insights into today's HAE treatment paradigm and how this is evolving; and second, generating and publishing important data which supports the clinical benefits and potential for Orladeyo.
 Let me turn first to the insights from our HCP interactions. Physicians are recognizing patients still have unmet needs today despite the advancements in prophy therapy over the last several years. It's not enough to just reduce attacks. Patients now want to significantly reduce or eliminate the interference treatment has on their lives. With multiple prophy alternatives available, each with its distinct profile, we're hearing clearly from HCPs that shared decision making has become even more important in HAE. It's not possible for physicians to know which therapy is best for patients. The decision isn't one dimensional. Instead, physicians must partner with their patients to understand each individual's needs, personal goals and preferences when it comes to treatment.
 And the way many physicians we speak with see it, Orladeyo helps accelerate this shift. Whether it's from our market research or what we've heard from physicians across hundreds of interactions, we know patients have been wanting an oral option and are even actively asking their HCP about it. Patients want to decrease their burden even if they're doing well on current treatments, and Orladeyo represents an ideal choice for this unmet need. It offers the chance to not only reduce attacks but to also reduce the burden of treatment. It's a convenient, more discrete, effective therapy with no needle trauma or prep time, ultimately helping patients reach the goal of leading a more normal life.
 We're focused on educating physicians about the disease burden that remains and the research data we share resonates. Our work continues to focus on driving this awareness and providing tools to physicians to help them navigate the shared decision-making process with their patients. Patients also will push for this. There are highly engaged communities that advocates often and consistently. The patient's desire for an oral treatment will amplify the need for physicians to engage in this shared dialogue.
 The other strategic priority for our launch is generating and publishing important clinical data. These publications will serve as critical resources for both our medical and sales team in the launch phase. Last month, JACI, the leading journal for the Allergy and Immunology Academy, has published the pivotal trial results from our APeX-2 study. The authors reinforce that Orladeyo was an effective, targeted oral prophy therapy and represents a major step in allowing patients to live a normal life.
 We also have a strong presence at the upcoming College Congress on November 13th through the 15th. We have 6 accepted abstracts, including a distinguished oral presentation for our 48-week clinical data. The new analyses show Orladeyo's continued treatment benefit on clinical outcomes, including attack rate reduction and improvements in quality of life and patient satisfaction scores. In addition, for the first time in a scientific forum, we will present the findings from our comprehensive burden of treatment survey with patients, caregivers and HCPs. Our research shows how today's prophylactic treatment impacts patients' and caregivers' lives and reveals the opportunities we have with Orladeyo to reduce this burden.
 The medical team has been out virtually engaging with the physician community. Our clinical data is resonating, and the exchanges are helping to advance the shift in the HAE treatment paradigm I spoke of earlier. As we look ahead at the launch during COVID, physicians tell us they're still seeing their patients either an in-office visits or remote via telemedicine. Given Orladeyo's profile, the pandemic doesn't create any barriers to initiating treatment for our oral therapy. This is particularly important should COVID restrictions significantly limit in-person care visits. Plus, as Charlie explained, we're able to ship directly to patients. No trips to the pharmacy are required, no refrigeration challenges. And unlike the injectable options, there's no patient training requirement on how to administer an oral once-daily capsule.
 Lastly, in terms of readiness, we're prepared from a supply perspective with ample drug product and inventory. We are ready for the final packaging activities with a plan to have finished packs available for shipment as soon as possible after approval. As we transform into a global commercial company, we're equally excited by the pipeline we have behind Orladeyo. I'll hand the call over to Bill for more on our clinical progress and upcoming data readouts. 
William Sheridan: Thanks, Megan. The launch of Orladeyo is exciting for patients, exciting for physicians and exciting for BioCryst. Oral drugs for rare diseases really matter. At BioCryst, we discover, develop and commercialize oral medicines for rare diseases. And Orladeyo is at the front of the train with a pipeline of homegrown investigational new drugs right behind it. Orladeyo was discovered by our research team in Birmingham in October of 2013. And now just 5 years from its first Phase I study, HAE patients may be less than a month away from the oral once-daily medicine they have been waiting for.
 We are applying the lessons from the successful Orladeyo development program to the other programs in our pipeline. Next in line behind Orladeyo is BCX9930, our oral Factor D inhibitor for complement-mediated diseases. In September, we reported outstanding clinical data with BCX9930 monotherapy in treatment-naive PNH patients receiving up to 400 milligrams BID. We saw rapid and dose-dependent reductions in key biomarkers, including LDH, and increasing hemoglobin levels in all PNH patients in the trial. Increases in hemoglobin levels were maintained without transfusions.
 BCX9930 has been safe and well tolerated at all doses in the trial. No drug-related serious adverse events have been reported. 7 PNH patients naive to C5 inhibitor treatment are currently receiving BCX9930 in this trial with 4 patients beyond 12 weeks of therapy, including 2 with more than 32 weeks, and all 7 treatment-naive patients are continuing to benefit from 9930 treatment.
 Our goal with this dose ranging study is to determine the optimal dose of BCX9930 to apply across an advanced development program that includes multiple complement-mediated diseases. We now plan to complete the trial by enrolling up to 8 additional subjects, including up to 6 subjects with inadequate response to C5 inhibitors. The overall total, including the previously enrolled patients naive to C5 inhibitors, will be up to 16 patients dosed with BCX9930 up to 500 milligrams twice a day. We plan to report comprehensive clinical data for both treatment-naive patients and inadequate responders to C5 treatments once enrollment and dose ranging are completed.
 Our trial sites the inadequate responder patients are now open in Europe as the resurgence of COVID and renewed lockdowns in many European countries have impacted the startup phase and enrollment. Given these impacts and our enrollment goals, we expect to complete and report the completed dose ranging study in PNH, including inadequate responders, in the first quarter.
 We've had productive interactions with regulators on the program to discuss next steps in this indication, including study designs for the advanced development of BCX9930 in PNH, which are planned to start next year. You may recall that the FDA has granted both fast track status and orphan drug designation for BCX9930 in PNH. In 2021, we expect to be conducting advanced development trials in PNH as well as exploring BCX9930 in new indications.
 Three big reasons that BCX9930 is so exciting that, one, we couldn't be more pleased with the clinical data for 9930 we have seen thus far. Two, it represents a pipeline and a molecule with many indications. And three, it is coming right behind Orladeyo. As you'll now hear from Anthony, we are fully resourcing our continued clinical progress with BCX9930 and delivering a successful Orladeyo launch. 
Anthony Doyle: Thanks, Bill. The PDUFA date for Orladeyo is fast approaching. We will continue to invest in this transformational event for the company. And in the coming quarters, we look forward to discussing the revenue we generate from this next evolution in the HAE space which will transform our financial position. While we invest in this major catalyst, we also continue to work with Bill and the clinical team to invest in BCX9930 and the development cycle pushing that program forward across multiple complement-mediated diseases.
 You can find our detailed financials in today's earnings press release, and I'd like to call your attention to a few items. We ended Q3 with $149 million in cash. Our operating expenses, not including non-cash stock compensation for the quarter, were $46 million and were $127 million through the third quarter. Based on our ongoing investments in the Orladeyo launch and the 9930 program, guidance previously provided for non-operating cash usage and operating expenses remains unchanged. Cash runway also remains unchanged with cash on hand through Q2 of next year. With the imminent inclusion of revenue from Orladeyo adding to our balance sheet, we continue to evaluate additional sources of capital, including royalty under debt financing, partnerships for 9930 and other financing options. We believe that the options available to us provide us with outstanding financial flexibility.
 These are exciting and transformational times at BioCryst. The tremendous work by the team has gotten us to this point where we have so many upcoming catalysts. Our continued investment in the development of BCX9930 and the launch of Orladeyo is indicative of both the strong position that we're in and our confidence that these investments support the company in delivering on our strategy and providing value to our shareholders. Now I'll pass it back to Jon. 
Jon Stonehouse: Thanks, Anthony. In addition to our commercial transformation with Orladeyo and the exciting clinical progress with 9930, we also are completing the Phase I trial of BCX9250, our oral drug for FOP, and Part 1 of a clinical trial in COVID-19 patients with our broad spectrum antiviral, galidesivir. Part 1 of the galidesivir study has completed enrollment and we are waiting for the virology data that typically lags in these studies as it needs to be processed and analyzed at a central lab.
 We remain confident we will report data later this quarter. Part 1 is the dose ranging part of the study. The primary endpoint is safety. We will also collect data on secondary endpoints, including clinical outcomes and virology. In recent conversations with our major funding partner of the program, NIAD, we understand that this data is a gating item for the program. While the study's not powered to show efficacy, some evidence of clinical and/or virologic activity is important for the program to continue to move forward. So we look forward to reporting out the data later this quarter.
 That's it for our update. As I stated at the beginning, our company is changing. The transformation to a commercial stage company with an exciting pipeline creates a very bright future for patients and for shareholders. With multiple approvals, data updates and revenue coming soon, you will have the opportunity to see this transformation for yourself, and we look forward to updating you along the way. That's it for our prepared remarks. We will now open it up for your questions. 
Operator: [Operator Instructions] Your first question comes from the line of Jessica Fye with JPMorgan. 
Daniel Wolle: This is Daniel for Jessica. A couple of questions here. Starting with Orladeyo, is it possible for you to set expectations on the cadence for volume uptake in early part of launch? Is there potential for early access programs in the U.S. and U.K. to drive a bolus of patients who might start out the gate, or will it be more gradual? 
Jon Stonehouse: Yes. Thanks for the question, Daniel. We're not going to give guidance. This is our first launch. We're in a COVID environment. You're right that there are a lot of patients on the drug currently and that could affect the uptake, but we're just not going to give that guidance at this time. We're really confident that this drug has the potential to be north of $0.5 billion in global peak sales, and so -- and as Charlie and Megan have said, we're ready. 
Daniel Wolle: Got it. Thanks. And switching to 9930, at what doses are the 7 treatment-naive patients currently on? And in the press release, there are statements saying that you have plans to add, to take new patients. When you take these patients, are you starting them at 400 milligram and updosing them to 500, or are you comfortable with the safety profile to start dosing them at 500 milligram dose? 
Jon Stonehouse: Bill, you want to take that one? 
William Sheridan: Sure. Daniel, thanks for the question. We're comfortable with the safety profile with all the doses we've tested, up to and including 500 milligrams twice a day. The goal of the study is to have adequate information across a broad dose range so that we can select the best dose to take forward into controlled studies in advanced development. So that's the point of the study. We'll give an update on exactly what doses and how many subjects at each dose once we complete the study. I think we gave a good -- a pretty thorough update in September. I don't want to go over that again today. But yes; the answer to your question is we'll be testing doses up to and including 500 milligrams twice a day. 
Daniel Wolle: And one last question. Given the recent setbacks with competitors in the FOP setting, maybe can you tell us a little bit more about 9250 and how it differentiates from the competitor landscape? 
Jon Stonehouse: So Bill, I'll start, and then maybe you can follow-up. It's a recurring lesson that we learned in this space of rare diseases and the importance of an oral drug. We saw this in HAE with companies that were ahead of us and then sellout companies behind us that couldn't come up with once-a-day drugs. And now we see the same thing, as you mentioned, in FOP. So that's why we continue to press forward in investing in 9250. It's an ALK2 inhibitor, so it's direct acting on the target that affects the disease, but I'll let Bill describe it a bit further. 
William Sheridan: Sure. So as Jon just mentioned, this disease is caused by a mutation in a kinase in the, it happens to be a transmembrane protein with the kinase domain inside the cell. So in our non-clinical research, we showed that oral dosing with BCX9250 could achieve effects inside the cell in animal experiments where we measure heterotopic ossification, which is the hallmark of this disease. So that was the signal we needed to invest in our first-in-human study. That study has progressed well, and we look forward to reporting the results in the last quarter this year. So I think that the medical need for patients with fibrodysplasia ossificans progressiva is absolutely enormous. It's a terrible disease. And the struggles with the palovarotene program and the Activin A antibody program really clearly demonstrate that that medical need is just as strong. So I think that going after the mutated protein directly and resetting the activity of that upregulated kinase still looks to us to be a really promising approach, and we hope it moves forward. 
Operator: Your next question comes from the line of Tara Bancroft with Piper Sandler. 
Tara Bancroft: I was hoping maybe you could provide a little more detail on the number of sales reps that you have. And in terms of manufacturing the packets, how many pills should be given per pack? And do you have a plan for sampling? 
Jon Stonehouse: Charlie, you want to -- 
Charles Gayer: Yes. Hi, Tara. This is Charlie. Thanks for the question. Sorry, I just got distracted by -- 
Jon Stonehouse: The number of sales reps. 
Charles Gayer: The number of sales reps. Yes, sorry. As we've said before, we haven't, just for competitive reasons, we haven't wanted to disclose the exact number. But what we've been saying is we know our competitors to be in the range of 30 to 50. And all the sales force, the targeting information I described in our remarks told us that that was the right size. So we'll fit right in that range of 30 to 50 U.S. sales representatives. 
Jon Stonehouse: And Megan, you want to take the packaging question? 
Megan Sniecinski: Sure, Jon. Hi, Tara. This is Megan. So we haven't sort of disclosed formally the product presentation. But as you can imagine for an oral once-daily treatment, the product packaging will certainly support the ease of a patient taking one capsule once a day. 
Jon Stonehouse: And Tara, what was the third part? I thought there was a third part to your question. 
Tara Bancroft: Yes, yes. I was actually wondering if you guys plan on offering samples. 
Jon Stonehouse: Yes, in this space, there's things called quick start that allow patient to get access quickly while they're going through the reimbursement process. I hate to use the word sampling because that has connotations of mass market products where reps bring boxes of samples into a doctor's office. That is not the case here. But the quick start program is absolutely a part of the offering. A big piece of our strategy is when a doctor makes a decision to write a script, that that patient gets the product as quickly as possible. And so through the hub services Charlie talked about and all the other things that he described in preparation, we want to do that as well or better than anybody in the space. 
Operator: Your next question comes from the line of Gena Wang with Barclays. 
Unknown Analyst: This is [ David ] on for Gena. One question on 9930. So given the good long-term durability observed for the competitive programs, which is Novartis Factor B inhibitor in the refractory patients, how do you see 9930's mechanism of action and also drug profile differentiates from the program? 
Jon Stonehouse: Bill, you want to take that? 
William Sheridan: Sure. Thanks for the question. Factor D is a very attractive target. It's the first catalytic enzyme in the alternative pathway of complement. Very proximal. So blocking Factor D can allow you to block optimization and resolve the extravascular hemolysis that occurs in patients being treated with C5 inhibitors, as well as blocking all of the downstream effects and treating the intravascular hemolysis at the same time. So proximal complement inhibition in general is very attractive. The number of indications here is enormous. And the future use of this class of medicines is going to be very important across nephritis indications, rheumatology indications, hematology indications. So there's room for more than one player, that's for sure. The other programs are at an early Stage 2. And as we were just discussing with FOP a few minutes ago, things can happen. So you never know what's going to happen to those other programs as we progress. We're very excited about the profile we're seeing with 9930. It has superb dose proportional exposure in pharmacokinetics. It has crystal clear and consistent and robust suppression of the alternative pathway in pharmacodynamic assays, and incredibly impressive clinical results in our dose ranging study in PNH patients. So we couldn't be more happy. I think that we really look forward to getting our advanced development program up and running after we complete our first study. 
Operator: Your next question comes from the line of Jon Wolleben with JMP Securities. 
Jonathan Wolleben: Congrats on the progress and thanks for taking the questions. I have one for each of the most advanced programs. And I guess starting with Orladeyo, can you remind us of the benefits of the Sakigake designation and if any of those change if the U.S. approval comes before the approval in Japan? 
Jon Stonehouse: So Megan, do you want to tackle that one? 
Megan Sniecinski: Sure, Jon. Hi, Jon. So the benefit that we received from the Sakigake designation is the accelerated review schedule. So again, with us being in the late stages, we've certainly benefited from that advantage. The other benefit comes with respect to the pricing discussions and negotiations. There would be premiums within the final completed price if you -- with the Sakigake designation. So again, that's another benefit. And I think your last question was with respect to any change if the U.S. approval comes first. The spirit of the designation is actually to incent companies to bring the innovative medicines to Japan first. And we've met that by submitting the JNDA ahead of the file being accepted with the FDA. So again, we feel really confident in where we are and look forward to the Ministry of Health approval decision next month. 
Jon Stonehouse: Yes. And I think the other thing I'd say, Jon, is like I said in the prepared remarks, completely different market. And it'll be the first prophylactic therapy for patients. And we expect that with a real convenient and therapy that's highly effective that it's also going to increase the diagnosis of HAE patients in Japan. So we're super excited about the launch with Torii. 
Jonathan Wolleben: Got it. That's helpful. And one on 9930 with the data from C5 poor responders coming first quarter now, what do you think is the minimum amount of follow up you'd want to have before reporting that data? 
Jon Stonehouse: Bill? 
William Sheridan: So thanks for the question. So the huge advantage of studying patients with paroxysmal nocturnal hemoglobinuria in dose ranging studies. Is that the half-life of lactate dehydrogenase is so short. So it's only like 1 to 3 days. 3 days is the outside. So 14 days of treatment gives you a very good handle on pharmacodynamic biomarker effects. Obviously, longer durations of treatment give you a handle on safety, and we're doing both of those things. So the original idea of the study was that we could get a lot of value out of 28 days of treatment with force titration. And I'm happy to say that has proven to be true. So I don't want to give you a minimum duration, but the original design had that initial 28 days in it. 
Jonathan Wolleben: That's helpful. And just the last one for me. Could you provide a little more color on the conversations with NIAID as far as gating factors? Is it some level of clinical or antiviral activity? And were these conversations before or after the more recent rendition of your publications in New England Journal and then all the subsequent WHO publications? 
Jon Stonehouse: Yes. So the conversations happened very recently. As you know, companies are working really hard and so is the government in terms of bringing therapies to patients who need it. There's the approval of remdesivir. There's antibodies that are being investigated, oral therapies. And so like any program, you want to see some benefit to your therapy, and that's what NIAD's looking for. I don't think there's any impossible hurdle here in terms of what they're looking for. They completely understand that the study's not powered to show efficacy, but some signal would be beneficial. And so we're really excited to see the data this quarter. 
Operator: [Operator Instruction] Your next question comes from the line of Brian Abrahams with RBC Capital Markets. 
Unknown Analyst: This is [ Steve Mellon ]. I'm on for Brian Abrahams. Just on the 9930 program, can you give us a little more color on the next steps and what might endpoints look like in a registrational trial there and maybe any additional indications you might pursue? 
Jon Stonehouse: Bill, you want to take that? 
William Sheridan: Sure. I think that I would encourage those of you who are interested to look at the studies that others have done that sets a precedent in the field, obviously. Our goal is to have a broad label and monotherapy with BCX9930 to treat this disease, and we're very confident about that. And so our intent is to create an advanced development program with rigorously designed controlled studies that achieve those objectives. And you can look forward to hearing more about that once we start those studies next year. With regard to endpoints, there's a limited selection. They're all pretty obvious. Clearly, the goals here are to fix the anemia -- stop the hemolysis, fix the anemia and prevent transfusions and eradicate the symptoms of the disease. So we measure all of those things. In previous studies, things like reduction in transfusions, maintenance of hemoglobin, reduction in LDH have all been used as endpoints. So again, once we've completed all of the required steps and we started the studies, we'll talk in more detail about the primary endpoint and the hierarchical order of the secondary endpoints. 
Jon Stonehouse: Yes. And Steve, I would say a couple more things. One, if you look in our slide deck, you'll see a slide that has the mechanism and then a number of different indications in a box on the right hand side. Those are extremely attractive to us. And so that gives you some indication of what we'll consider to pursue. And then the goal is next year to have multiple clinical trials, advanced development studies in multiple indications next year. So, super excited that we have a pipeline and a molecule with 9930. 
William Sheridan: I think that I would just add another comment with regard to just the incredible enthusiasm that we're getting from our external collaborators who are top experts in hematology and nephrology, for example. They see that this mechanism of action and the dose finding in PNH can be translated directly into these other areas, and they see just how strong this drug is performing. So this program is going to be completely transformative. 
Operator: Your next question comes from the line of Serge Belanger with Needham & Company. 
Serge Belanger: A couple of questions on Orladeyo. Jon, you're 28 days from the PDUFA. You're probably limited in what you can say about the ongoing review. But can you comment on whether the preapproval manufacturing inspection has been completed? And then second question regarding your expected payer coverage for Orladeyo. How long do you think payers will have a policy for the product? Is it a 6-month process? And then will the prior authorizations kind of reflect what we see now with the current prophylactics? 
Jon Stonehouse: So I'll take the first one, Serge, and then Charlie will take the second piece on the payer. Yes, I mean, we're 28 days away. So we have to be way down the path. And as I said before, our confidence level is high. I'm not going to get into the specifics. We've referenced before what FDA has said about manufacturing inspections in the world of COVID. And depending on where you're manufacturing, they'll either accept previous FDA inspections if there's no major issues or they'll accept foreign country inspections if there are no issues. And I think we've mentioned to you before, we have dual manufacturers on both drug substance and drug product, and 3 of those 4 are domestic. They're here in the U.S. So confidence level extremely high going into 28 days to PDUFA. And then Charlie, you want to talk about the payer? 
Charles Gayer: Yes. So, Serge, as you heard in my remarks, we recently finished research with -- that we did with 56 payers carrying over 200 million lives. And the big point is they expect to cover Orladeyo. I mean that's something that we've been hearing consistently. Now that said, with any disease, any drug launch particularly in rare diseases, it doesn't mean all payers will cover with the exact same time schedule. So we expect that there's going to be a mix. And our market access team is really well prepared for that. There'll be a number of payers that will cover right out of the gate. There'll be others that we just have to work with to educate a little bit more. And we've got that all in our planning. 
 We've got a really experienced market access team who's done this before in other rare diseases and has a great track record of success. So the ultimate -- the endpoint, though, is we're looking to get access for all patients who want and can benefit from Orladeyo, and we're confident we'll get there. Oh, and sorry. You also asked about the prior authorization similarities. Yes, we expect the -- and we've said this before, the main tool that most payers use in HAE is the prior authorization. They just want to make sure that patients really have HAE. And all of our work with payers says that they're going to prior authorize this drug just the same way they would do with Takhzyro or Haegarda. There's one thing, though, one kind of exception to that or one opportunity we see is that a lot of patients are switching from those existing prophylaxis. We expect a lot of those patients to switch over. So they've already been through the PA process, and we expect that that will reduce the burden of that process. 
Operator: Your final question comes from the line of Maury Raycroft from Jefferies. 
Unknown Analyst: This is [ Sovnor ] on for Maury. One question on the galidesivir trial. Can you walk us through some of the scenario analysis of what NIAID and BARDA might look before stockpiling galidesivir for COVID-19? 
Jon Stonehouse: I think jumping to stockpiling is a huge leap from where we are today. They -- we haven't gotten into exact, what do you have to see. We will certainly review the data with them, and we'll get their input on what activity we see or don't see from that data, and then we'll communicate what the plan is moving forward. 
Unknown Analyst: Okay. And then one question on 7353. So is there any status update on high dose, higher doses that you were planning to dose in order to see an improved efficacy for HAE? 
Jon Stonehouse: We don't think we need it. The 150 milligram dose is an excellent dose. We see patients go from having roughly 3 attacks per month down to 1. It's a highly competitive profile. And with the once-daily oral, as Charlie mentioned and Megan mentioned, patients have been waiting and doctors are ready. So, so are we. 
Operator: I'm showing no further questions at this time. I would now like to turn the call back over to Mr. Stonehouse for any additional or closing remarks. 
Jon Stonehouse: Yes. So the next earnings call we have, we'll be talking about an approved product and how we're launching Orladeyo. So we're really excited about that. I hope that you come away from this call, having listened to Charlie and Megan, that we made really smart investments early on to be ready. And I am extremely confident that this team and the things that we've done to get ready are going to position us for a successful launch. So the company is changing. You're going to be seeing it over the coming months, and we look forward to updating you along the way. Thanks for your interest and have a great day. 
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.